Operator: Welcome to the LeMaitre Vascular, Q1 2012 Financial Results Conference Call. As a reminder, today’s call is being recorded. At this time, I would like to turn the call over to Mr. JJ Pellegrino, Chief Financial Officer of LeMaitre Vascular. Please go ahead sir.
Joseph P. Pellegrino, Jr.: Thank you, Larry. Good afternoon. And thank you for joining us for our Q1, 2012 conference call. Joining me on today’s call is our Chairman and CEO, George LeMaitre and our President, Dave Roberts. Before we begin, I would like to read our Safe Harbor Statement. Today, we will discuss some forward-looking statements, the accuracy of which are subject to risks and uncertainties. Wherever possible, we will try to identify those forward-looking statements by using words such as belief, expect, anticipate, forecast and similar expressions. Please note these words are not the exclusive means for identifying such statements. Please refer to the cautionary statements regarding forward-looking information and the information under the caption Risk Factors in our 2011 10-K and subsequent SEC filings including disclosure of factors that could cause actual results to differ materially from those expressed or implied. During this call, we may discuss non-GAAP financial measures. Please refer to our earnings release in our website www.lemaitre.com for a discussion and reconciliation of non-GAAP financial measures. I’ll now turn the call over to George LeMaitre.
George W. LeMaitre: Thanks, JJ. I’d like to begin with our Q1 2012 results. Then I will discuss the growth drivers emerging in our business. I will finish with some remarks about the AlboGraft notices we received from U.K. and France. I am pleased to report that sales were up 8% organically in Q1. This growth is a result of our 2011 restructuring programs as well as our significantly larger worldwide sales force. Organic growth was led by Japan, up 19% and Europe up 13%. The turn around which we were to engineer in 2011 is now taking root in 2012. In 2011 most of our challenges were in Europe as we struggled to sell both stent grafts and open vascular devices through one combined sales channel. To sort out this mismatch we [adjacent] our stent grafts platforms and replaced stent grafts reps with Vascular reps. With our strategy more crystallized, and our sales bag more coherent, we also elected to build out our European sales force (inaudible) from 24 reps a year ago to 31 at the end of Q1 2012. Another piece of the sales force ramp was our newly direct efforts in Spain and Denmark, which combined to nearly double sales. Globally we have grown our sales force by 20% in the last year and all this has been done economically as sales and marketing expenses increased just 5% in Q1 2012 versus the year earlier quarter. LeMaitre Vascular now has 79 (inaudible) in 13 countries. In addition to our accelerating geographic penetration, I would like to highlight a few of our product growth drivers. In Q1, 2012 we brought in a XenoSure distribution agreement to include Canada. Prior to this expansion, XenoSure had been posting growth rates in excess of 40%. My initial sales growth rate will accelerate beyond this 40% rate in 2012 due to the late 2011 European launch and the recent expansion to Canada. As XenoSure begins to account for a bigger slice of our revenue, this product’s growth rate will take on increasing importance to our overall growth rate. As a reminder, we own an exclusive option to acquire XenoSure in January (inaudible). Other product launches that contributing growth also. UnBalloon and the Over-the-Wire LeMaitre Valvulotome launched in Q4, Q1 and are now running at about $600,000 a year in sales. We also continue to uncover a significant growth opportunity in our embolectomy balloon catheters. Balloon catheter sales were up 14% in Q1, 2012, as the number one competitor Edwards Lifesciences effectively dismantled its vascular sales force in 2009, 2010 in order to concentrate on heart valves. We believe we are the second or third player in this market and we are beginning to fill the Edwards void with our own high-quality balloons and our focused vascular sales force. At the time of the eighth complaint, 6,000 plus Burlington manufactured devices had already been shipped. This complaint rate is in line with AlboGrafts according to U.S. public data. We remain confident that AlboGraft meets our high-quality standards and those are the markets we serve. These notices are not recalls and devices already sold in our household sales in Britain and France maybe used. We also continue to sell in all previously approved geographies including the U.S., Germany and Europe. The German regulator has verbally confirmed its support of AlboGraft use. And in February, the U.S. FDA completed their routine (inaudible) made including AlboGraft manufacturing with zero observations. To context, these are the first two sets notices in our 29-year history. We are now appealing the British and French rulings, while seeking to satisfy their concerns. In a face-to-face meeting in London, the agency indicated it might inspect our Burlington facilities in Q2 as part of a resolution process. We hope the notices will be lifted within three to six months, but of course, this is in the regulators hands. AlboGraft sales in the U.K. and France accounted for less than 2% of our worldwide sales in Q1, 2012. This news is more than outweighed by the emerging benefits of the 2011 restructuring programs. Our 2012 sales value is more focused. We have the largest sales footprint and we've consolidated all our production into one location. In addition, our product pallet contains several quality shots on goal. XenoSure is posting heavy growth rates, the UnBalloon and the Over-the-Wire LeMaitre Valvulotome represent true innovation and our embolectomy balloon catheters are filling a void left by a competitor. All four products represent significant growth opportunities when delivered for 79 direct sales reps in 13 countries. It was nice to return to 8% organic sales growth in Q1 2012. With that, I will turn the call over to J.J.
Joseph P. Pellegrino, Jr.: Gross margin was 70.9% in Q1, 2012, versus 69.5% in the prior year period. The gross margin increase was largely the result of the Italian factory closure, higher average selling prices, improved mix and was partially offset by inventory write-offs related to AlboGraft of about $375,000. Two drivers of the higher margin were improved sales mix as we exited distributed stent grafts and the Italian facility closure both were direct results of our 2011 initiatives. Moving down to P&L, total operating expenses were $9 million in Q1, 2012, down slightly from the previous year. Here too, we enjoyed benefits from our 2011 initiatives. Research and development expenses in Q1 2012 decreased 11% to $1.1 million largely the result of our exiting stent graft trials and associated royalties. Q1 2012 G&A decreased 6% to $2.7 million, mainly due to the closure of the Italian facility and a reduction in compensation costs. Q1, 2012 selling and marketing expenses increased 5% to $5.2 million, driven by additional sales representatives, as well as an increase in direct marketing. Q1, 2012 operating income was $900,000 versus an adjusted operating profit of $1.1 million in Q1, 2011. Higher gross margin and tight operating expense control in Q1, 2012, we are not quite able to offset the loss of stent graft sales. Net income in Q1, 2012, was $386,000 or $0.02 per diluted share. I am pleased to note that Q1 2012 was our second consecutive quarter without significant special operating charges. In 2011, we exited stent grafts, went directly to Spain and Denmark and began the transfer of two manufacturing facilities to Burlington. While strategically important, the moves generated significant restructuring charges from Q4 2010 through Q3 2011. These charges were largely absent in the last two quarters although the manufacturing transfers continue to hinder our gross margin. Cash and marketable securities were $19.6 million at March 31, 2012, a decrease of $500,000, during the quarter. The decrease was driven by annual bonus and sales commissions of $1.5 million, share repurchases of $600,000 and equipment purchases of $300,000, all of which were largely offset by cash generated from operations. We continue to pay dividends and buyback our stock. In April, our Board of Directors approved the payment of a quarterly cash dividend of $0.025 per share of common stock. The dividend will be paid on June 4, 2012 to shareholders of record on May 18, 2012. Also during Q1 2012 we purchased $600,000 of our shares. Till August 2009 and we have purchased $5.3 million of our stock and $4.7 million of repurchases remaining in our $10 million program which ends December 31, 2013. Both the dividend and the stock buyback program underscore our confidence in the company's ability to generate cash and our desire to return value to shareholders. Turning to guidance, we expect Q2, 2012 sales of $14.2 million, up 6% organically versus Q2 2011 and reported operating income of $1 million. We also expect 2012 full-year sales of $57 million, up 8% organically versus 2011 and reported operating income of $5 million. Full year 2012 top line guidance has been revised downwards by $500,000 to reflect the likely temporary loss of AlboGraft sales in the UK and France. AlboGraft accounted for $1 million of sales in 2011 in these two countries. With that I will turn it back over to the operator, Larry for Q&A.
Operator: Thank you. (Operator Instructions)
George W. LeMaitre: Does look like you have a couple of guys up there Larry, Jamar and also Larry Hemowich.
Operator: Thank you. And our first question comes from the line of Jason Mills of Canaccord Genuity. Please proceed.
Jamar Ismail – Canaccord Genuity: Hey, guys this is Jamar calling in for Jason.
George W. LeMaitre: Good afternoon, Jamar.
Jamar Ismail – Canaccord Genuity: Hey, my first question I guess is on the AlboGraft. First, can you let me know how much of the inventory write-off, so there is a $100,000 just due the stoppages of sales in the UK and in France, how much is due to the still to the transfers of the factory?
George W. LeMaitre: So in the quarter Jamar we had about $375,000, about a hundred of that as you say was basically due to UK and France has reduced their [unit] projections going forward and then the rest was basically due to testing as we made sure our quality was the size it could be before it went off the door.
Jamar Ismail – Canaccord Genuity: Okay. Thanks. So thinking about gross margin going forward still that like [$275,000] in this quarter of the testing how much you think that goes down in Q2?
George W. LeMaitre: I would say you can think of it getting better incrementally over time. I can't really tell you we’re not forecasting gross margin but I would say we wouldn't expect to be doing this amount of testing and have this much excess and obsolete to write-offs for AlboGraft related items going forward. So of some piece of that $375,000 is going to go away hopefully quarter by quarter over time.
Jamar Ismail – Canaccord Genuity: Okay. And I guess and looking at UnBalloon and Over-the-Wire Valvulotome, can you just give a little bit more color on the ramps there? Are you in for launch in both of those?
George W. LeMaitre: Sure, in some ways it's good I think we are a little bit slow out of the gate in Europe due to some additional regulatory filing work that we needed to do in some of the outlining markets like Italy and Spain. And so I feel like in the U.S., the answer is yes. We are in full ramp on both of those. It’s fully launched. There is nothing holding us back. And I would say in Europe, you still probably have half more of the engine to get started over there. So on the last call, we mentioned that we thought the run rate was about $500,000 a year and on this call, it’s goosed up a little bit $600,000 a year. My feeling is it still going to go up from here, but we’ll see and time will tell.
Jamar Ismail – Canaccord Genuity: Okay, great. And then I guess this is my last question is on sales reps, what’s your goal of adding for the rest of the year?
George W. LeMaitre: Sure, I feel like, we continue to play around with number about 82 to 85 as the year goes on, we have taken a big bite over the last 12 months and we’ll see how that works out. And then settle in there and maybe go from there after that.
Jamar Ismail – Canaccord Genuity: All right, great.
George W. LeMaitre: Okay, thanks Jamar.
Jamar Ismail – Canaccord Genuity: Thanks a lot guys, okay.
Operator: (Operator Instructions) And our next question comes from the line of Larry Hemowich of HMPC. Please proceed.
Larry Hemowich – HMPC: Good afternoon gentlemen.
George W. LeMaitre: Good afternoon Larry.
Larry Hemowich – HMPC: Any updated comments on UnBalloon you may have made them early on the call, I jumped in a little bit late, any progress you can report to be updated all?
George W. LeMaitre: I mean just the answer to Jamar’s question which is over in Europe I feel like we’re a little bit slow getting those launches going for a variety of reasons. So you probably still haven’t seen us at full throttle on both UnBalloon and Over-the-Wire, it’s going well, it’s the two of them together $600,000 and a split there Larry, we are not trying to hide anything, split there is roughly half and half. If I would editorialize I would say the Burlington is going a scooch better than the UnBalloon although the data set that I am working with right now, my desk is so small, but it’s very hard to see where it’s going.
Larry Hemowich – HMPC: Yeah. And remind me, you do have FDA approval now for UnBalloon right.
George W. LeMaitre: Both FDA and CE approval for both devices.
Larry Hemowich – HMPC: Okay, good. And then for any of you J.J. or whoever, just update me on the roughly, you have it authorization in place on the buyback. How much more could you do this year based on the current authorization from the Board?
Joseph P. Pellegrino, Jr.: So we got authorization Larry to buyback $10 million of stock, we are about $5.3 million through that some about 4.7 left through this year and next year. So we basically have a year and three quarters to get the remainder done.
Larry Hemowich – HMPC: So you’ve done little over a half of the fully authorized amount.
Joseph P. Pellegrino, Jr.: Exactly.
Larry Hemowich – HMPC: How many shares have you bought back with that $5.3 million J.J.?
Joseph P. Pellegrino, Jr.: I would say about 800,000 or so.
Larry Hemowich – HMPC: Okay. So that’s been a meaningful number compared to the total shares outstanding?
Joseph P. Pellegrino, Jr.: Yeah, I mean if you look at our fully diluted and basic shares outstanding over the last year, year and a half, both down about 300,000 shares. So we soft up some extra shares with the buyback for sure.
Larry Hemowich – HMPC: Good, thanks guys.
Joseph P. Pellegrino, Jr.: Thanks. Larry.
Operator: (Operator Instructions) And at this time, there are no further questions in queue. And I would now like to turn the call back over to Mr. George LeMaitre for closing remarks.
George W. LeMaitre: Thanks Larry. First, I’d like to thank all the participants on this phone call. I’d also like to mention that we’ll be speaking at the Bank of America Merrill Lynch Conference on May 16 in Las Vages. The Sidoti, Wells Fargo and Three Part Advisors Conferences in June, as well as the Stifel Nicolaus Conference in September. And with that, I’ll turn the call back over to Larry. Thank you very much.
Operator: You’re welcome. And ladies and gentlemen that concludes today’s conference. I would like to thank you for your participation and you may now disconnect. Have a great day.